Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter 2022 Gildan Activewear Earnings Conference Call. All lines have been placed on mute to prevent background noise. Please be advised that today's conference is being recorded today Thursday, November 3 2022. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Sophie Argiriou, Vice President of Investor Communications. Please go ahead.
Sophie Argiriou: Good morning and thank you all for joining us. Earlier this morning, we issued a press release announcing our earnings results for the third quarter of 2022, along with our interim shareholder report containing management's discussion and analysis and consolidated financial statements. These documents will be filed with the Canadian securities and regulatory authorities and the US Securities Commission and are available on the company's corporate website. With me today is Glenn Chamandy, Gildan's President and Chief Executive Officer; and Rhod Harries, Executive Vice President, and Chief Financial and Administrative Officer. This morning, Rhod will take you through the results for the quarter and a question and answer session will follow. Before we begin, please take note that certain statements included in this conference call may constitute forward-looking statements. Such forward-looking statements involve unknown and known risks, uncertainties and other factors, which could cause actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company's filings with the US Securities and Exchange Commission and the Canadian securities regulatory authorities. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable IFRS financial measures are provided in today's earnings release and in our MD&A. And with that, I'll turn it over to Rhod.
Rhod Harries: Thank you, Sophie. Good morning all, and thank you for joining us on the call today. This morning we were pleased to report another strong quarter, particularly in the current macroeconomic environment. Specifically, despite tough retail and international markets, the strength of our vertically integrated manufacturing model and the resiliency of our large core imprintables Activewear business is clearly differentiating us and driving our ability to deliver. So, during the third quarter, we generated sales growth of 6% over record sales last year. We delivered another quarter of operating margin at the top end of our target range and we grew adjusted EPS by 5% while returning $125 million of capital to shareholders through dividends and share buybacks. At the end of the quarter, our balance sheet remained in great shape with net debt-to-EBITDA at 1.2 times as we continue to run at the low end of our target leverage framework. Moving on to the details of our results. Our sales for the quarter totaled $850 million with Activewear sales up 13% while hosiery and underwear sales were down 26%. Total Activewear sales were $742 million in the quarter compared to $656 million last year driven by higher net selling prices. Sales volumes to US and Canadian distributors grew over last year and included strong sell-through of ring spun products where we believe our market share continues to grow. The area where we saw weaker volumes was with national accounts or retail-related customers due to the broader industry decline in demand across retail. International shipments were also down due to ongoing demand weakness across these markets. In hosiery and underwear, where we generated sales of $108 million in the quarter, the decline in sales compared to last year reflected both weaker sell-through and the impact of tight inventory management by retailers. So on the whole and despite the challenging environment, we are pleased with the sales performance we were able to deliver in the quarter as travel, tourism, large events and the everyday use and replenishment nature of our products continue to drive underlying demand and offset softer retail market conditions. Moving on to our margin performance. Despite the headwinds of inflation across our supply chain, our margins for the quarter remained strong. We generated gross and adjusted gross margin of 29.7% in the quarter, essentially maintaining levels versus the second quarter of this year. Compared to last year gross and adjusted gross margins declined, as we expected reflecting declines of 540 and 170 basis points respectively compared to gross margin of 35.1% and adjusted gross margin of 31.4% in the third quarter of last year. Keep in mind, last year's margin on a GAAP basis included a $30 million or 370 basis point impact related to net insurance gains tied to the 2020 hurricanes in Central America, which were not in our numbers this year. Excluding this item, the gross and adjusted gross margin decline on a year-over-year basis was due to higher raw material and other manufacturing costs which more than offset higher net selling prices and favorable mix impacts. Turning to SG&A. Expenses for the third quarter came in at $79 million, down slightly versus the prior year, and as a percentage of sales SG&A came in at 9.3% compared to 10.1% last year. The decrease in SG&A expenses was due to lower variable compensation expenses and our continued focus on containing costs, which more than offset the impact of cost inflation and higher selling expenses. The improvement in SG&A as a percentage of sales reflected primarily the benefit of sales leverage. Overall, looking at our SG&A performance so far this year we continue to be pleased with how the team is managing around the 10% of sales level in this difficult inflationary environment. Summing up these elements. The sales increase combined with our gross margin and SG&A performance in the quarter translated to operating margin levels of 20.5% on a GAAP basis and 20% on an adjusted basis coming in at the high end of our target range. And after reflecting higher net financial expenses due to increases in interest rates and average borrowing levels, higher GAAP income taxes as well as the benefit of a lower outstanding share base driven by our share buybacks, we reported GAAP and adjusted diluted EPS for the quarter of $0.84. This compared to GAAP diluted EPS of $0.95 and adjusted EPS of $0.80 in the third quarter of 2021, reflecting a 5% year-over-year increase in EPS on an adjusted basis. Now, before concluding on our results let me provide some commentary on our cash flow and balance sheet. During the third quarter we generated $66 million of cash flows from operating activities, down in comparison to $243 million generated last year, mainly due to higher working capital requirements that were largely inventory related. And after funding capital expenditures of $74 million, we ended up consuming $70 million of free cash flow -- we ended up consuming $7 million of free cash flow in the quarter. On inventory levels, at quarter end, our inventories totaled just over $1.1 billion, up from $725 million last year. As a reminder last year's inventories were at suboptimal levels due to production constraints from yarn labor shortages and the impact of the hurricanes in Central America from late in 2020. Higher inventories this quarter were also due to the impact of inflation on unit costs, as well as higher raw material and work in process levels given broader supply chain constraints. Finally, we finished the quarter with a net debt position of $944 million and maintained our leverage ratio at 1.2 times at the low end of our target range as mentioned previously. This sums up our results for the third quarter which combined with our record results in the first half of the year leaves us in a position of strength, as we navigate through near-term challenges related to the current environment. In this regard and importantly, our large North American business geared toward in printable channels continues to benefit from demand, driven by travel, tourism and large events and is expected to remain relatively stable. On the other hand, where we are seeing continued weakness is with our national account or retail-related customers, which represents a smaller part of our business. Further, in international markets, we are also continuing to see ongoing softness in demand. From a profitability standpoint, we feel good about the actions we have taken to strengthen the economics of our business. And while the impact of higher costs will impact the fourth quarter, we remain committed to delivering on our operating margin targets. So in closing, we have a strong team and we believe a proven track record of operating excellence in both good and tough environments. This combined with the progress we are making in executing on the key pillars of Gildan's sustainable growth strategy driven by capacity innovation and ESG gives us confidence in our ability to deliver on our 3-year growth objectives which we shared with you earlier in the year. This concludes my formal remarks. And with that, I will turn it back over to Sophie.
Sophie Argiriou: Thank you, Rhod. At this time, we are ready to begin the question-and-answer session. So I will turn it to the operator to begin the session. Operator, go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Mark Petrie of CIBC. 
Mark Petrie: Good morning, thanks for the comments, Rhod. Hoping you can just give us a little bit more color specifically on the volume trends that you're seeing across your channels into the early part of Q4?
Rhod Harries: Okay. If you look -- thanks for the question, Mark. If you look at the volume trends we are seeing as we move into Q4 and I think you look at effectively the way that our distributor business is running, I would say we're quite pleased with that, right? As I've called out effectively we are seeing the strength of travel, tourism and events related to experiences which are driving that business. And we really are seeing -- we are seeing I would say trends which were similar to what we saw in Q3 and to a certain extent to what we saw in Q2. So that's really providing support in this channel I would say. And that has been a big driver of our business as I called out in our remarks. And really it's differentiating us and it's allowing us to drive that strong activewear growth that we saw in Q2 -- Q3 sorry of 13%. If you look at other areas which are more retail related -- we -- as we called out, we saw a weak POS as we move through Q3. We see retailers continuing to bring down inventories in line with broader industry trends. We actually probably saw more softness in Q3 than we saw in Q2 on that side of the business. And the -- and then in international markets, we are continuing to see demand weakness also carrying over into Q3 and as we head into Q4. So, it's a mixed outlook I would say to sum up where we are. But we do have that core, which is still running well as we move into the fourth quarter. Now, as we think about that though, I think the one thing you do have to think about is as we think about last year in Q4, it was particularly strong. We did see restocking occurring in the quarter. And I think just given the overall environment, we won't see that in Q4 of this year. But overall, it's mixed as we called out in the commentary on Q3 and that's continuing into Q4. 
Mark Petrie: Okay. Thanks for that. And you sort of touched on my follow-up question just with regards to the inventory in the distributor channel, not expecting sort of material restocking, but do you feel like we're sort of stable here, or what's the outlook with regards to sort of -- or what's the position with regards to distributor inventories today?
Rhod Harries: Yes. I think if you look at distributor inventories today I would say we are at normalized levels I think is the way to think about it for where POS is running. So, we have seen inventories move with POS as we've as we move through the year and as we've effectively come out of what was a much weaker environment as we were coming through the pandemic we saw strength building in 2021. And we continue to see strength in those inventories as we've moved into 2022. That doesn't mean to say that they're perfect. There are definitely areas where they still need some support I would say. But overall I would say inventory levels are normalized and where they should be effectively at this juncture. And we'd expect them to sort of continue along those lines as we move into Q4. And as we move into obviously more of an uncertain environment, but I would say they're at normalized levels and sort of probably optimize for where POS is running currently.
Mark Petrie: Okay. Thanks. And just last question on OpEx. I mean it's the lowest margin rate we've seen from you guys and down from last year on a dollar basis. Could you just give us a bit more color on the drivers there? And then what's a reasonable way to think about the cost base either on a rate or dollar basis going forward? Thanks.
Rhod Harries: Yes. If you look at the -- well if you look at when you talk about OpEx Mark are you talking about SG&A or effectively you want to talk more broadly about our operating costs and gross margins. Can you just clarify? 
Mark Petrie: I was -- yes sorry I was specifically focused on SG&A. Obviously I'll take whatever comments you care to share but I was specifically asking about SG&A. Thanks. 
Rhod. Harries: SG&A. Yes. Yes. No, look, we did see very good SG&A performance in the quarter. I would say 9.3% of sales is very low right as a percentage of sales and we're very pleased with that. I think we are working hard to contain costs in this inflationary environment. We did see lower variable comp in the quarter and we just see a bit of an adjustment for that actually. And so we did benefit from that I would say in the quarter. That probably in the end was about 60 basis points when you look at it. So we were -- this was a particularly favorable quarter. We did see the benefit of sales leverage. But I would say overall we're very focused on SG&A. And as we have been as we move through back to basics we're performing very well there. We are going to continue to focus on making sure that we have appropriate SG&A for the way that the business is running as we go forward. And I think as you look to Q4 it will probably be at those low levels. It will be up a bit. I would say our target right now is around 10% from an SG&A perspective and we're trying to deliver around those levels. Some quarters will be below some quarters in this environment may be a little bit higher. But it is an area of focus. And long-term, I would say as we continue to grow as we continue to drive the business and really see that the growth that we're anticipating over the longer term, we do see even moving down from those levels. But I think in this environment right now I would say that we're very pleased with how we performed last quarter and particularly good versus probably what you'll see over the next few quarters as we move forward.
Mark Petrie: Okay. Appreciate all the color. All the best. Thanks.
Operator: Your next question comes from Jay Sole of UBS.
Jay Sole: Great. Thank you so much. Rhod, could you give us a little bit of an update on the factory capacity expansions in Central America and Bangladesh? Just maybe give us an update on the progress you made over the last 90 days. And any increase in visibility into the orders that are coming in doable to fill up those factories as you look out into next year?
Rhod Harries: I'll take that one. So our plans for Bangladesh are -- remain on track. Like we said last quarter that the plant will commence to start in Q2 of 2023 and then subsequently be built up. So Bangladesh is really a Q4 -- a 2024 story basically in terms of the capacity that will be available in that facility as we -- because we have a ramp-up period to get it up and running. And as far as the rest of our capacity, it's running appropriately. We have all the things in place, I think to support growth as we move into 2023.
Jay Sole: Terrific. Thank you so much.
Rhod Harries: Thank you.
Operator: Your next question comes from Stephen MacLeod of BMO Capital Markets.
Stephen MacLeod: Thank you. Good morning, everyone. I just wanted to follow on Rhod some of your commentary around the Q4 expectations and specifically with respect to the gross margin you talked about the pressure accelerating in Q4. I'm just curious if you can give a little bit of color on what magnitude you might be expecting? And then along those lines as well, would it be safe to say that Q4 gross margin pressure reflects what we saw in terms of peak cotton prices?
Rhod Harries: Okay, Steve thanks for the question. So look if you look at Q4 and again we're not giving specific guidance, but the trends certainly happy to talk about. And if you look at the margins for Q4, we will see the impact of higher raw material costs as we move into Q4. They will become a little bit more pronounced than what we saw in Q3. Obviously there's a lag in what you see on the impact of cotton prices on our P&L. And as prices were moving up, you start to see that coming through more so as we move into Q4. And probably you'll still see a little bit of that as we move into Q1 of next year as well just to effectively give you an idea of how the cadence works as we move from Q3 to Q4 to Q1. So we'll be higher raw material prices coming through. That will put some -- a little bit more upward pressure I would say on our margins. I also talked about our SG&A performance. They're not quite as strong as what we saw in Q3. And so the net of all of that is that we do see our operating margins will likely be lower in Q4 than what we saw in Q3. But I think we still feel very comfortable about achieving margins in our target range. So again I think we're very pleased with the way that margin performance has evolved overall as we've moved through the year. If you look at really what we've done on the cost side in order to operate in this environment, the way that the teams have worked to be able to effectively offset, I would say strong inflation coming through in all areas. I would say we are very pleased with the margin performance, but we will see some pressure as we move into Q4 as a result of the things I've talked about.
Stephen MacLeod: Right. Okay. That's helpful. Thank you. And then just with respect to the -- some of the trends we're seeing in Q4 I know you've already given some great color. But I just wanted to ask as you're seeing macro weakness beginning to creep into the sentiment surely. Just curious have you seen any impacts on certain pockets of the distributor business, or has it still continued to just move forward across all the channels?
Glenn Chamandy: No. Look I think our distributor business is like what Rhod said earlier is really performing quite well be honest with you. And I think actually in Q4, we've actually seen some increases in fleece for example, which is helping the overall I think sales growth within the distributor channel. So we had a very warm summer this year. So fleece sales historically are strong in the fall and it's taken a little bit longer for them to kick in but the sales in fleece are actually very strong now, which is continuing to support the outlook of the distributor business as we move into Q4.
Stephen MacLeod: Okay. That’s great. Thank you very much.
Operator: Your next question comes from Luke Hannan of Canaccord.
Luke Hannan: Thanks. Good morning. Glenn, I think you had mentioned last call that in past periods where there are higher cotton prices, some of your competitors had pulled back on production. And I think you alluded to maybe that same dynamic playing out in the coming quarters. Have you seen any signs of that yet?
Glenn Chamandy: Well, I think that there's been definitely a reduction in overall capacity primarily driven I think by the poor retail conditions in the market. So there's definitely not just in our hemisphere I think that's everywhere. I mean, that's a global phenomenon. I think that there's been a big reduction in overall capacity adjusting in line with retail volumes. I mean, that's probably a fair statement in today's environment, which I think at the end of the day has I think will give us the ability to excel as we move into 2023. We're well-positioned from a capacity position to support the growth in 2023 as we exit 2022.
Luke Hannan: Okay. And then moving on to the retailer destocking. I appreciate, it's tough to get some visibility here. But if we go back to the last time where there was the, sort of, prolonged period of retailer destocking can you give us any idea is today sort of a close proxy to what it was like then? Was it short-lived? The general tone seems to be that this overhang is taking a bit longer than maybe past overhang? What are the sort of dynamics at play here? 
Glenn Chamandy: Well, it's hard to say to be perfectly honest with you. I mean -- but I say that this is probably from a retail perspective probably the worst we've seen it. I mean in a long time and -- I mean since we've been in the retail market it's we've never seen such a I think a pullback particularly in things like underwear which are typically staples. So there's definitely a pull back. Obviously things all work themselves out. We've -- and the question is when does it turn? I think that partly the inventories at the major retailers are significantly higher. They were chasing volume. And until those inventories get worked through their and turn it into cash I think things will remain tight. But I would just maybe on our point and looking at where we stand which I think is more relevant is that we entered 2022 very tight on capacity. So we didn't really go after new programs. But I would say that as we move into 2023, we worked hard this year and we have quite a few new opportunities that will occur which will support I think growth for us in that environment despite the negative comps on current programs and current POS. So I think that's something that I think is what we're looking for as we move into 2023 and that the market continues to rebound then I think that would be post even in a better position. So we're still cautiously optimistic about as we move out of 2022 in to 2023. 
Luke Hannan: Got it. Thank you very much.
Operator: Your next question comes from Brian Morrison of TD Securities. 
Brian Morrison: Hi. Good morning. I want to follow up on inventory specifically at Gildan. You seem to be back to pre-pandemic levels. And Rhod you mentioned some of that is cost inputs. But I understand there's production discipline in the industry. But how do you think about price stability and sustaining that gross margin outlook as you get a little bit of pressure here with the decline in commodity prices? 
Glenn Chamandy: I'm going to start with the question I think. Look I mean, look pricing in the market is stable very stable I would say. Pure cotton is only one part of the input obviously which is the largest but only one. We as a company and I think the -- even the industry because we're the market leader in setting prices we only set prices for cotton in around the dollar level. So just put that in perspective. So part of that people are going to absorb in their margin because we've only raised prices up to the dollar level. We never raised them to the peak where cotton came off the board in July. And there's other significant inflation activity still happening. Energy is up significantly. And it's not just up in Central America, it's up in the United States as well. Labor costs. I mean every way you read labor continues to grow. Polyester has gone up significantly because it's a byproduct of oil and there's other input costs that have gone up. So although cotton is starting to come down there's other factors they haven't. So I would say that there's definitely support for price as we go. We didn't bring pricing up all the way. And in the market today pricing is relatively stable. So -- and everybody in the industry has high cost. And this high cost I think even in raw material will take at least six to nine months before it gets flushed out of the industry. I mean just because of the weaker sales and weaker will be less So we're not really concerned about that at this point. 
Rhodri Harries: Okay. And then on inventory, Brian I mean if you look at the inventory increase and I called out in the remarks what's driving that but I would say probably 40% of the increase is related to our raw materials and our WIP and that's driven by cost. And it's driven by us I would say carrying higher probably safety stocks is maybe the way to think about it because of the broader supply chain constraints right that we've been dealing with everywhere. So we have been naturally -- or we have been carrying higher levels of raw materials and WIP. Cost is in there but costs will ultimately reverse out. And then as the whole environment abates I would say the whole tightness in various things that we use inputs into our processes we're talking about things like dyes and trims and all sorts of things that we use as the supply chain effectively becomes a little bit more flexible we don't have to carry the same types of levels that we have carried in the past. And that will naturally reverse out. And then on the finished goods side, I would say again it's being driven by cost and it's being driven by units. As we said on the cost side that will ultimately reverse itself out and as Glenn said, we don't see real exposure there from a price perspective when we actually go to liquidate this or move this inventory -- sell this inventory sorry into the marketplace. And then from a units perspective in certain areas we've needed more units. We've needed more units in order to support the business. So overall we're comfortable with where we are where the inventory levels are especially given adjustments that we see will occur as we go forward. And then the final point I think you always have to remember with respect to our inventories is that we sell basic replenishment non-fashion products. And so the inventory that we have we always feel good about the quality of the inventory. And again in the environment that we see going forward we're not concerned about our ability to be carrying high-priced inventory in an environment where we can't price for it. So overall higher than where we were -- many of those impacts were going to unfold. They were given the environment. And I think we feel we're in a good level where we currently are and we'd like to try and stay at these levels as we move forward. And then obviously we'll benefit from that as we move into 2023.
Brian Morrison: Okay. Very thorough. Thank you, both. One follow-up question on Bangladesh. Rhod maybe, I understand your ramp production fall into 2020-2024 I assume you'll transfer some production from Honduras. As it ramps up should there be any drag on margins from Bangladesh or is it insignificant? 
Glenn Chamandy: No. There'll be no drag on margin be insignificant. And we'll continue to manage our capacity based on the sales outlook and we're in a good position today to support sales. And if we need to moderate production a little bit it's not an issue for us at all either, which would not be any drag on our margin performance. 
Brian Morrison: Thank you, Glenn.
Operator: Your next question comes from Vishal Shreedhar of National Bank. 
Vishal Shreedhar: Thanks for taking my question. I just wanted to get your thoughts on a few issues that have come up in the past or opportunities. In the past Gildan has talked about the opportunity associated with nearshoring and retailers increasingly looking at private label. I wonder how these conversations are going with retailers? And if you expect Gildan to capitalize on any of these opportunities call it in 2023? 
Glenn Chamandy: Well that's why I said a little bit earlier. Look at we – in beginning of 2021 moving into 2022, we were so tight capacity especially after surviving the hurricane that we never really focused on new programs. And as we began 2022, we obviously aggressively started looking for new opportunities to support 2023. So we do have new programs and new opportunities both from near-shoring retailers. And so that's part of our – obviously our overall growth plan and strategy to support the targets that we set out over the three-year period. So definitely we'll see some of that as we move into 2023. 
Vishal Shreedhar: Okay. Thanks. And I know you touched on this but with respect to the capacity expansion plans and the rebound that you're seeing in travel and tourism as you anniversary kind of that period of weakness and the consumer gets back caught up on those end markets. Do you expect the stability that you're seeing in Printwear to continue, or do you expect that to kind of decline as it historically has with consumer confidence? 
Glenn Chamandy: No, we expect it to continue to grow. I mean and don't forget there's definitely a portion although our distributable business is doing really well, there are there is a portion of the product that they sell that gets resold into the consumer space as well, right? So it could actually be going better because if you look at the beginning of the year the POS and sales in our US distributor business was much more robust than it is today. It's still good. It tailed off a bit. And part of the part that actually tailed off was the part that was more related I think around the consumer side of it. So we're optimistic. We're in a good position. We think that we're well positioned both from a capacity place as well as our market that as we sort of see this whole thing aside that there'll be a lot of upside in terms of our sales volume and combining that with new opportunities from near-shoring and retail shelf space we're well positioned as we move into 2023 and 2024.
Rhod Harries: I'd also add to that Vishal in the Printwear business the corporate promotional side has never really come back to the strength that it was pre pandemic and that's a driver as well in the business that probably has been impacted by the macro weakness that we've seen. So as Glenn said, there's a number of drivers and then you layer on different areas of the business which will start firing again. Overall, we see good strength. 
Vishal Shreedhar: Okay. And in the past during periods of weakness Gildan has been opportunistic and capitalized on acquisitions. Wondering if that's something that you see potential is an option for Gildan particularly given the strength of your balance sheet? 
Glenn Chamandy: Look, we're focused on our build and growth story. So we believe that our capacity is in place, our cost structure is in place. And objectively, we're going to continue to stay focused and build organic growth in line with our three-year targets over the next 24 months. 
Vishal Shreedhar: Thank you.
Operator: Your next question comes from Paul Lejuez of Citigroup.
Brandon Cheatham: It's Brandon Cheatham on for Paul. Thanks for taking my question. Just wondering if we could dig in a little bit on kind of price increase dynamics and how much that helped sales in the third quarter? And then what units trended during the quarter? 
Glenn Chamandy: Okay. Thank you for the question. So if you look at price in the third quarter, it turned out basically the way I think we had talked about on the last call that we had for the Q2 earnings call. So effectively price came in the mid-teen range, which was basically where I had been traveling effectively, if you look at Q2 and Q1. So consistent I would say price impacts. Now the one thing to call out there is that's going to actually start to moderate as we go into Q4 because there we're comping price increases in Q4 of last year. And so you'll see that price impact starting to drop down. And then from a volume perspective, we were down overall. Obviously, we had 6% revenue growth. We did see mid-teens on the price – but again that was – it was mixed depending on where you're looking. So we had good strength on the distributor side as we've talked about whereas the retail side and the international side, there you saw because of the – effectively the POS weakness destocking, I would say tougher comps from last year negative volume. So I would say decent price offset by mixed impacts of volume across the board and that ultimately delivered the growth for the quarter. 
Brandon Cheatham: Got it. And so you really start to annualize that price increase in the first quarter of next year. Understanding that you took some price 4Q last year. Is that correct? 
Glenn Chamandy: Yeah. I mean, I think if you actually look at where we are as we move into the first quarter of next year yes, obviously the annual -- the comps really step-up and the price impact really reduces as we move into Q1 and Q2 of next year.
Brandon Cheatham: Got it. That's helpful. And sorry if I missed it, did you guys quantify where POS is trending today and what it was in the quarter?
Glenn Chamandy: I think we gave general commentary on what we're seeing across the various challenges.
Brandon Cheatham: Got it. And have you guys' internalized Frontier Yarns capacity fully? I know that that was the debottlenecking but have you kept any some of those external contracts on as capacity constraints have seem to alleviate?
Glenn Chamandy: Yes. It was fully internalized. And it's fully part of our vertical integration today.
Brandon Cheatham: Got it. I appreciate it. Good luck.
Glenn Chamandy: Thank you.
Operator: Your next question comes from Sabahat Khan of RBC Capital Markets.
Sabahat Khan: Hi great. Thanks. Just I guess following up on the volume and pricing discussion. I guess, as you start to lap some of the price increases and given how volume trends are kind of headed over the next while. I guess, how are you thinking about, the sort of promotional activity or just in general just other ways you can drive volume. Do you think maybe the international channel turned at some point? Just trying to get an understanding of -- also if you can share some magnitude of shifts between whether a North American distributor channel, how that's trending versus international just so we can understand how kind of the next two to three quarters may look at current backdrop.
Glenn Chamandy: Look, I don't think that price is going to drive volume in this market. So as we go through we'll navigate through, I think a little bit of volatility on volume. But as we move into 2023, our objective is to support new opportunities really. That's what we're going to get the volume now. If the market does rebound by 23%, then we'll also get supported by the growth in the existing volumes that we do have. But price is not going to drive volume in this market. I mean it's just not going to move the needle. So if that answers your question but what's going to move the needle for us is obviously new opportunities, new growth, there is near-shoring and the things that we really laid out in our long-term planning.
Sabahat Khan: All right. That's helpful. I guess are you able to maybe parse out? I think you called the volumes were down in Q3 in wholesale, but maybe how much international might have been down? And I think you indicated North America might have been positive, are you able to just give some perspective on that?
Rhod Harries: I don't really want to separate out the different channels. But again I think you can put together the math of where sales growth was, where prices effectively as we said distributor volume was positive. And then, retail, you can get a sense that volumes were moving in line with -- well actually probably a little bit more negative than POS because of the de-stocking that was going on. In international, probably mostly driven by POS was negative because of the weakness in all markets. And on the Innerwear side we report that. And you can see the numbers and that was driven by POS weakness in de-stocking. So effectively we've got all these trends that are impacting us -- so really a mixed environment, but the core strength of our distributor business is really holding up. And then as we go forward ultimately what we're seeing on the retail side it will reverse. Ultimately, we'll work our way through -- or retailers work their way through inventory levels. We will start to see the upside from what's occurred in the last few quarters again because our products are basic they're replenishment. They need them on the shelves. Obviously, as Glenn said, we're looking at some new programs that drives sell-in as well as sell-through. So I would say overall if you look at the environment that we're in now it is I would say a tougher environment from a volume perspective, although, again, some areas of some bright spots. But as we go forward those longer-term trends will still be there for us given the basic sort of the setup of our business and then those macro trends that Glenn called out that we've been talking about and casualization on the creator economy, on near-shoring, on private label, on ESG. I mean, all of these things are driving our business ultimately driving really good demand for active wear. And that's why we do feel I would say confident about our ability to deliver on our three-year targets. We are in an unstable or a weaker environment now. We'll see what happens in 2023. We don't have a crystal ball. We don't know. But these trends are strong. And they are driving our business over the long-term.
Sabahat Khan: Great. Thanks for that Glenn. And just one quick one, through kind of the last couple of years there's been a benefit from kind of the stay at home worker or some of that I think creator economy that you referenced. Are you finding that some of that business is still with you? What is kind of the longer-term outlook for that sort of work from home consumer maybe some of those online sales that you started to gather over the last couple of years? Just some color there.
Glenn Chamandy: Well, that's what we said. I mean, those online sales are maybe more relevant to retail. Let's say, for example, consumer the end users or consumer. So our distributor business in the first quarter was up until sometime in mid-March was significantly higher than it is today. And that part of the business we think is the part that fell off. What didn't fall off is all the travel, team sports, uniform, rock concerts, that part is still, NASCAR, sporting events. I mean that part is still strong and driving our volume. The part that we think in the distributor area that actually mitigated a little bit was exactly the part that was more addressed to consumers. So I don't think that's going away. I think, that's just, the broader overall consumer market and there's just a little bit of that within our distributor segment. So, overall, we're still very optimistic and I think that we're well positioned.
Vishal Shreedhar: Great. Thanks very much for that.
Operator: Your next question comes from Chris Li of Desjardins. 
Chris Li: Good morning, everyone. My first question is just going back to cotton. If you assume that cotton prices stay where they are and assuming the selling price stability is maintained, do you expect cotton to be a tailwind for margins next year, assuming that the hedge cost makes you will likely be lower than the current year? Thank you.
Glenn Chamandy: Well, there's all kinds of puts and takes, right? So we don't know exactly where we'll end up. But I would just say, look, there's still other inflation, like I said earlier. We have energy labor other input costs, polyester offsetting cotton. So it's -- there are all kinds of puts and takes. So look, we're -- I think, moreover, we're confident in delivering our operating margins and we'll be in that range as we move into 2023 and supported by sales growth.
Chris Li: Okay. That's helpful, Glenn. And maybe another one just maybe a follow-up on the comments you’ve been making about new program opportunities for next year. Can you maybe drill down for us a little bit where are you seeing the opportunities? How much visibility do you have? And maybe just the size of the opportunity for next year, please? Thank you.
Glenn Chamandy: Well, the opportunities are really part of our overall long-term strategy, which is nearshoring retailer private label, obviously and those are the big areas of growth for the company, as well as, obviously, continued growth in our distributor and national account segment. But -- and that's where we're seeing the new opportunities. And they're a function of us bringing on capacity, were so tight last year that we really didn't -- for 2022, really want to bring on new programs. But as we built up our capacity during the year, integrated Frontier and had available insight to more opportunity, we started aggressively going after these programs. So we do have new volume opportunities and which will support growth for 2023, and depending on how the market performs on our existing business and that will sort of be -- we'll see what happens. That's the part that we really have to have a crystal ball on, but we're well positioned I think in doing all the things we can in our power to support growth.
Chris Li: Great. Okay. Thanks, Glenn and all the best.
Rhod Harries: Thank you.
Glenn Chamandy: Thank you.
Operator: This concludes the question-and-answer session of today's call. I would like to now turn over to Rhodri Harries for closing remarks.
Rhod Harries: Okay. Thank you, operator. Before we close off the call, I would just like to mention to everybody that many of you know that Sophie will be retiring at the end of this year. And so this has been Sophie's last earnings call. At Gildan we have many talented employees across the organization. That’s what drives Gildan every day. And Sophie really has been one of them. And really over her last 17 years that Gildan has made an outstanding contribution to the IR area and has, obviously, interacted with many of you. So, I think, Glenn and I and the rest of the team would just like to thank Sophie and wish her all the best as she heads towards a very well-earned retirement. And unfortunately or maybe fortunately, no more quarterly calls. So with that, thank you everybody. Really appreciate you joining and we look forward to talking with you going forward. Thank you and thank you Sophie.
Sophie Argiriou: Thank you, Rhod.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.